Operator: Good day everyone, and welcome to the Kornit Digital Ltd. Second Quarter 2019 Earnings Conference Call. As a reminder, today's conference call is being recorded. [Operator Instructions]. At this time I would like to turn the conference over to Tom Cook. Please go ahead, sir.
Thomas Cook: Before we begin, I would like to remind you that forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other U.S. securities laws will be made on this call. These forward-looking statements include, but are not limited to statements relating to the company's objectives; plans; strategies; statements of preliminary or projected results of operations; or our financial condition and all statements that address activities, events or developments that the company intends, expects, projects, believes or anticipates will or may occur in the future. Forward-looking statements are subject to known and unknown risks and uncertainties and are based potentially on inaccurate assumptions that could cause results to differ materially from those expected or implied by the forward-looking statements.  The company's actual results could differ materially from those anticipated for many reasons, and I encourage you to review the company's filings with the Securities and Exchange Commission, including the company's annual report on Form-20F filed March 26, 2019, which identify specific risk factors that may cause actual results or events to differ materially. Any forward-looking statements are made as of this call hereof, and the company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law.  Additionally, the company will be making reference to certain non-GAAP financial measures on this call. A reconciliation of these non-GAAP measures to the most directly comparable GAAP measures can be found in the company's earnings press release published today, which is posted on the company's Investor Relations site.  On the call today, we have Ronen Samuel, Kornit's Chief Executive Officer; and Guy Avidan, Kornit's Chief Financial Officer.  At this time, I would now like to turn the call over to Ronen.
Ronen Samuel: Thank you, Tom. Good evening and thank you for joining our Second Quarter 2019 Earning Conference Call. Today I will provide a brief summary of our second quarter performance and highlighting key business updates as we continue to execute on our short- and long-term strategy. I will then hand over the call to Guy to cover our financials. We are pleased to report another strong growth quarter for Kornit, full of activities and strategic milestones. Revenue in the quarter was $43.9 million. This figure is net of $2.4 million of warrants related to Amazon. Our business grew 23.9% year-over-year driven by successful launches and adoption of our new products and focused execution of our go-to-market strategy. Our HD platforms continue to experience high levels of demand from both existing and new customers. Atlas demand continues to exceed our expectations and our pipeline for the second half of the year looks strong. The highly anticipated Avalanche Poly Pro launched end of March contributed materially to our revenues already this quarter. The Poly Pro solves a major industry challenge and the incoming level of interest is the strong evidence to the growth potential of this solution. During the quarter, we revealed our partnership with Adidas and their digital embellishment production strategy. Those attending ITMA Barcelona witnessed live on-demand production of Adidas apparel at our booth. Adidas has adopted both the Atlas and Poly Pro solution as part of our -- of their business. We are very proud to partner with this iconic megabrand and expect this partnership to expand in these quarters and the years ahead. Brands of all sizes are a growing strategic focus area for us. I am extremely encouraged with the growing number of engagements we are having with the world's leading apparel brand as they look for Kornit to become a strategic solution provider in the DPC and on-demand production strategies. ITMA Barcelona, the long-awaited Summer Olympics of the textile industry, was extremely successful for us. We officially launched the Presto, the most advanced industrial single-step solution for sustainable direct-to-fabric printing. Feedback from leading fashion and home decor brands was phenomenal, and we were able to build a robust pipeline for these products during the show. The Kornit Konnect, our cloud-based software analytics platform, was also revealed at the show. The game-changing solution enables businesses to analyze in real time production and track additional data-driven benchmarks to ensure they win in the marketplace. We expect general availability of the Konnect to be in the fourth quarter. Our business in North America was very strong this quarter. The transition to a direct sales model was executed smoothly. Our business relationship and engagement with our North American strategic accounts is very strong and we continue to see them growing fast. Further, we continue to scale our original organization with additional of keen industry talents. EMEA is another quarter of solid performance and our pipeline for the second half is very strong. We continue our investment in scaling of go-to-market infrastructure with a major focus on Central Europe.  As discussed in the past, APAC represents a key growth opportunity for Kornit. Over the past several months, we successfully introduced new leadership, made several go-to-market changes, and invested in our operations. We are pleased with the preliminary success of this investment, as reflected in another quarter of significant year-over-year growth and the development of our pipeline. The continued investment in customer service infrastructure and implementation of our customary empowerment strategy is progressing and continues to be extremely well-received by our customers. We experienced another very strong growth quarter in our service business. We are pleased to be in a position to substantially invest in our business for future growth while generating attractive margins. This was demonstrated in the second quarter by our non-GAAP operating margin of 6.2% which includes a 490-basis-point headwind for Amazon warrants. As stated during our investor day, we expect that our business can continue to invest in future growth and maintain attractive profitability as we progress to our $500 million target revenue run rate. I would like to thank again all existing and new investors for the confidence in Kornit. Our successful public offering during the quarter strengthened our balance sheet by approximately $130 million. This allows us to execute on inorganic growth opportunities and ensure a strategic position as we build and expand our solution for the world's largest brands. To summarize, I'm extremely proud with the performance of our teams in the first half of this year. We deliver on all operational and strategic goal communicated last fall. We launched numerous new and innovative products, engaged with leading brands, executed our regional go-to-market strategies, scale of global operations, and drove top-line profitable growth. As we enter the second half of the year, we remain laser-focused on continued execution of our short- and long-term plans. I want to thank all our customers for the confidence and loyalty to Kornit and our global workforce for their hard work and dedication to our collective success. Guy will detail our outlook for the third quarter in a moment. But we are seeing continued strong demand for industry-leading solution and we are well-positioned to deliver on our goals for the second half of the year. Now, we'll turn the call over to Guy for a closer look to the number and our guidance.
Guy Avidan: Thanks, Ronen, and good evening, everyone. Before beginning the financial overview I would like to remind you that the following discussion will include GAAP financial measures as well as non-GAAP pro forma results. Our second quarter non-GAAP pro forma results reflect adjustments for the following items: stock-based compensation expenses, which total $1.4 million; total amortization expenses relating to acquisitions of intangible assets in the amount of $204,000; taxes on income related to non-GAAP adjustment in the amount of minus $382,000; and non-cash deferred tax benefit in the amount of minus $295,000. Adjustment related to the acquisition of Hirsch's assets were non-cash inventory adjustment of $1.2 million, amortization expenses relating to the acquisition of intangible assets of $78,000 out of $204,000. As the company has significant operating lease liability in foreign currencies, the company incurred foreign exchange gains or losses from the re-evaluation of these liabilities. These gains and losses may vary from period to period and do not reflect the financial performance of the company. This quarter, foreign exchange losses associated with ASC 842 were $203,000. A full reconciliation of our results on a GAAP and non-GAAP basis is available in the earnings press release issued earlier today and on the investor section of our website. Second quarter revenue net of the 2.4 million warrants impact increased by 22.3% to $43.9 million versus $35.9 million in the prior year, and increased 15% versus the prior quarter. Second quarter business reflect 23.9% and 18.3% growth over the prior-year period and the prior quarter, respectively. Business reflect quarterly sales prior to reducing warrant impact.  Revenues grew to record levels this quarter thanks to the successful launch of the Atlas and the Avalanche Poly Pro product as well as significant growth in revenues from services. Services revenues for the quarter were $6 million net of $0.9 million warrant impact, accounting for 13.7% of total revenues, an impressive increase of 59.4% from the prior-year period. The amount attributed to non-cash impact of warrants in the second quarter was $2.4 million or 5.2% of revenue, $1 million or 2.5% of revenues in the previous quarter, and $1.5 million or 4% of revenues in the second quarter 2018. The increase in warrant impact this quarter versus the previous quarter was mainly attributed to higher share price and higher revenues from Amazon. You can see the worst impact this quarter versus the prior quarter and the previous year on revenues and margins in slide number 17 and 18. Additional information regarding the Amazon warrant agreement is available in slide number 19. By geography, 57% of our sales were from the Americas; 30% from Europe, the Middle East and Africa; and 13% from the Asia-Pacific region. As in previous quarters, the Americas remain our largest territory. Our Asia-Pacific revenue in the second quarter showed continuous improvement of 38% year-over-year and 65% growth in the first half of 2019 over the previous year period. As Ronen mentioned earlier in his remarks, the investment we made in the region started to pay back and we expect its momentum to continue throughout the year. Our EMEA revenue declined by 5% over the previous year period and increased 21% from the previous quarter. Our EMEA revenue, without revenues from Amazon, increased by 19.1% over the previous year period.  Moving to customer concentration, this quarter none of our customers exceeded 10% of revenues. A global customer contributed 8.5% of our all-world revenues in the second quarter compared to 23.9% in the previous year. Our top 10 customers accounted for 41.8% of our overall revenues compared to 55.2% in the prior year. This points to our continuous customer diversification as Kornit continues to grow and scale. Moving to profitability, non-GAAP gross margin in the quarter decreased to 45.9% from 49.2% in the prior-year period and increased from 44.9% in the first quarter of 2019. Lower margin this quarter versus the year-ago quarter were mainly the result of new product introduction, inventory write-offs and $2.4 million, or 282 basis point, warrant impact.  We expect gross margin in the second half to return to normal levels and as a result non-GAAP without warrant impact gross margin to exceed 50%. On a GAAP basis gross margin in the quarter was 42.5% versus 48.6% in the prior-year period and 40.1% in the first quarter of 2019. Moving to our OpEx items, I'll discuss these items on a non-GAAP basis which exclude non-operating charges previously mentioned and highlighted in our GAAP to non-GAAP reconciliation included in today's press release. Adjusted research and development was 11.3% of sales, or $5 million compared to 14.2% of sales or $5.1 million in the prior year. In the second quarter we capitalized certain qualified software development costs related to external vendors and independent contractors in the amount of $0.5 million. We expect an additional $0.5 million software development cost capitalization in the second half of 2019. Sales and marketing expenses in the quarter were $8.7 million or 19.8% of sales compared to $5.9 million or 16.3% in the prior year. Higher sales and marketing expenses were the result of extensive trade show and global launch events to our new product. Expenses related to the ITMA show were $1.2 million. In the first half of 2019 we had extensive sales and marketing expenses related to successful product launch of the Atlas, Poly Pro and Presto. For the second half of the year, we expect trade show activity and other external marketing costs to slow down. However, we do expect our customer-facing and marketing head count to continue to grow in the third quarter. General and administrative expenses in the second quarter were $3.8 million or 8.6% of sales compared to $3.5 million or 9.8% in 2018. Head count as of June 30 was 484 employees, 22 employees more than the previous quarter. Most of the growth is related to customer-facing functions. During the last 12 months we have accelerated our personnel growth to adjust our workforce to the changes in our go-to-market. As of June 30 we are behind on our recruiting plan. Therefore, we expect to continue head count growth in the second half of the year and expect to moderate personnel growth in 2020. Non-GAAP net income for the second quarter was $2.9 million, or $0.08 per diluted share, net of $0.06 warrant impact, a decrease of $0.3 million versus the year-ago quarter. Non-GAAP diluted earnings per share without warrant impact increased by $0.01 over the previous year. GAAP net income was $0.5 million or $0.01 per share on a diluted basis compared with net income of $1.8 million, or $0.05 earnings per share for the year-ago quarter. Our non-GAAP financial income this quarter was $0.7 million as a result of accrued interest of our cash investment. Our GAAP financial income this quarter was $0.5 million. Cash balances including bank deposit and marketable securities at quarter end were $250.1 million, compared to $102.7 million as of June 30, 2018. The increase in cash balances from $124.3 million in the previous quarter was mainly attributed to cash raised in the follow-on offering on June 18 this year and the net amount of $130.4 million offset by cash used in operating activities of $4.4 million, mainly due to $8 million increase in trade receivables as a result of increase in revenue over the previous quarter. Next, I'll discuss our adjusted EBITDA. For the second quarter 2019, adjusted EBITDA was $6.1 million compared to $5.5 million for the second quarter of 2018, an increase in the adjusted EBITDA of $0.6 million, or 10.6%. Net cash used in operating activities was $4.4 million this quarter compared to $0.4 million net cash provided in the prior quarter and net cash provided from operating activities of $4.9 million in the year-ago quarter. Turning to our guidance for the third quarter of 2019, we expect revenues to be in the range of $47 million to $51 million and non-GAAP operating income to be in the range of 14% of revenues to 17% of revenues. As has been our practice in the past, these numbers assume no impact of fair value of issued warrants in the third quarter of 2019. As a reminder, the calculation of warrants per value is based on the combination of and the combined effect of estimation of future revenues from Amazon, future Kornit share price in unknown dates, future stock volatility, as well as other variables that currently are not predictable and some of which have no correlation to our business. Since as of today we're not able to predict these variables, we assume the worst impact at zero value for guidance purposes only.  From the coming four warrants vesting, would be inherently accelerated. Expansion of Amazon install base plus the vesting acceleration effect will drive warrant impact higher than before.  I'll now transfer the call back to Ronen.
Ronen Samuel: Thank you, Guy. Now we are ready to open the call for questions from the audience.
Operator: [Operator Instructions]. We will take our first question today from Jim Suva with Citibank.
Jim Suva: Thank you very much, and the details you already provided were useful so thank you. I have two questions. First, you mentioned that you're using [indiscernible] capital situation allows you to invest more in the future. How should we think about those priorities? Is it sales force investment? Is it geographic reach investment? Is it acquisitions, software or hardware or M&A? How should we think about those? And then my second question is regarding the tariffs. I know you're not directly importing a lot that impacts the tariffs, but anything about supply chain whether it be components, printed circuit board, memory, processor, steel fringe or beads or even nuts, bolts, screws -- are you being impacted by the tariffs at all because of the global sourcing of technology? Thank you.
Ronen Samuel: Do you want to take the tariff, I will answer on the M&A?
Guy Avidan: Yes. I'll start with tariff. So I think we discussed that before. Part of the solution is printing systems, the other part is ink. We're manufacturing 100% of both products in Israel, the country of origin is Israel. And as a result, we have zero tariff with the United States. We do have a very small fraction of components imported from China, but we've been audited for our product by the U.S. Customs and they approve that our products are made in Israel. That said, going to September 1, already announced an additional 10% tariff for the bulk of around $300 billion and that includes apparel. So in a way, reshoring and manufacturing locally in the U.S. is pretty much going to be the trend as a result of the new tariff. And Kornit will enjoy that by selling more machines and ink in the United States.
Ronen Samuel: As for the M&A and activities that we are doing around it, we are looking in different areas in order to accelerate the Kornit growth. Of course, we are looking both on go-to-market, on auxiliaries. Our main focus as of today is around software workflow. This is where we believe we need to invest. This is what we communicated in the past and I really hope that in the next coming month quarters, we will be able to announce some development in this area.
Operator: Our next question comes from Brian Drag with William Blair.
Brian Drab: I just wanted to start on the gross margin. You mentioned a couple items here, product mix was one of them. New product intro I understand. But what exactly was happening with the product mix that held back the gross margin?
Guy Avidan: In terms of product, we're not really breaking down system and ink. You can see that we had high volume of services, and we have negative gross margin on services.
Brian Drab: Okay, yes. Thanks. And then you also do have the high margin Poly Pro in the mix, and that was material, Ronen mentioned in the prepared remarks. So is that something that can help, you know, as the Poly Pro gains traction is that going to help the gross margins maybe in the second half of the year, move up from here?
Ronen Samuel: Yes, definitely. We mentioned it in previous calls that all our new product that include the Atlas Poly Pro and Presto versus the Allegro. They all carry higher gross margin. That said, due to the launch we're still not totally ramped-up so we're seeing higher cost of goods sold.
Brian Drab: Okay. I'm just trying to get a sense if this is the level of gross margin, you know, if services is going to be 14%, 15% of revenue. By now we should see the benefits of taking out Hirsch pretty completely in the mix here. So I'm just wondering what, you know, if you could give us a sense for like, where we should be modeling gross margin relative to this quarter in the back half of '19 and into 2020?
Guy Avidan: So regarding the second half of '19 we expect to be above 50%. Ronen mentioned before, we have a very good demand for all the new product and we expect the second half of the year to see more ink consumption based on Atlas and Poly Pro that will drive gross margin higher. So we said during the call that we expect second half to be about 50%.
Brian Drab: And I had missed that. So then above 50%, just to be clear, is adding back any impact of warrants, correct?
Guy Avidan: It's without any warrants impact.
Brian Drab: Okay, so ignoring warrants [indiscernible] -- it's above -- yes, without any impact from warrants.
Guy Avidan: Exactly.
Brian Drab: Okay. And then I guess just the last thing for right now is, can you -- I'm guessing the answer to this is no, but can you tell us anything further about the [Technical Difficulty]? Anything in terms of, is there a signed contract, how many machines are they using? Like, less than 10, more than 10? Anything you can tell us about the nature of that relationship?
Ronen Samuel: You're referring to Adidas?
Brian Drab: Yes, Adidas --
Ronen Samuel: It wasn't clear. You're referring to Adidas, yes.
Brian Drab: Yes, Adidas.
Ronen Samuel: We have a very close relationship with Adidas. Of course, we cannot unveil, as you suspected, the number of units that they already acquired from us. We just can mention that they acquired both the Atlas and the Poly Pro, and we expect them to continue to grow with us in the coming -- in the next quarter and in the coming years.
Operator: Our next question comes from Tavy Rosner with Barclays.
Tavy Rosner: I got disconnected for a minute so sorry if you already touched on that. Could you comment a little bit about the R&D expense? It seems to be a deceleration during the quarter. So is that because you're comfortable with the product launch that you've had and therefore you can just enjoy to spend a little less for the current quarters?
Guy Avidan: No. Actually the reason, and we mentioned it in the call, we capitalized around $0.5 million for software development and we expect the second half of the year to capitalize another $0.5 million that would be depreciated from 2020 on.
Tavy Rosner: And then just a question on Konnect that you launched earlier in the quarter. Do you expect any monetization around that, or it's simply just part of your ecosystem, something that comes with it that helps, you know, with utilization and just makes your machine fit in better within your customer?
Ronen Samuel: The first stage we are not expecting any revenue out of -- directly out of the Konnect. The Konnect will help to boost customer success, print more, enable us to provide better services and connectivity to our customers, based in many, many other advantages. In the second phase and third phase, we are going to add additional value-added services through the Konnect and then you will see additional revenue coming through the software.
Tavy Rosner: Maybe just a short last one, you mentioned the gross margin of the service component being low in nature. Is there anything that you guys can do structurally to just change that and boost margins of the service component?
Ronen Samuel: Yes, so there are many, many areas that we are working to improve profitability on the service business. Of course, the service business has to go with the growth of the business. We launched many new products. We are growing very, very fast on the installation, on new customers, on big accounts, across different regions. So we have to continue to invest in the services while we are working very closely with our team to improve productivity of our team and reduce costs. One example is the cost of spare parts and the use of spare parts in the field. So we're aiming, as we mentioned in the past, doing second half of 2020 to reach breakeven on the service business.
Operator: Our next question comes from Chris Moore with CGS Securities.
Christopher Moore: Just maybe one or two on the Poly Pro. So I'm just trying to get a feel for how you're thinking about the system sales moving into 2020. I know you don't give guidance to that, but if I was to say 25% of system revenue in 2020 could come from Poly Pro, is that -- would that be an aggressive statement, or would that be reasonable? Or any thoughts on that?
Ronen Samuel: I would say that you are not far away. I would probably go more into between 15% to the 20% guide?
Guy Avidan: Yes, makes sense.
Ronen Samuel: Yes. Probably around the 15% to 20%.
Christopher Moore: Got it, that's helpful. And then I'm just kind of trying to get a better feel for the relationship of the Poly Ink to the Poly Systems versus non-poly ink to the non-poly systems. Given the Poly Ink is more expensive, higher margin, polyester shirts use maybe 2.5 times as much ink as cotton. And then the other side is the throughput is a little lower than on, say, the Poly Avalanche. Is it reasonable to think that the dollar value in a kind of Poly Ink system could be 2 to 3 times that of non-poly? Is that too simplistic looking at the basic inputs?
Ronen Samuel: It's definitely going to be higher and you touched the right point. Definitely the list price is higher and ink consumption per similar image is higher as well. But not necessarily the same type of images will be printed on cotton and poly. So we don't know the exact number but definitely lifetime value of poly machine is going to be very high compared to any other machine.
Operator: Our next question comes from Jim Ricchiuti with Needham.
Michael Cikos: This is Mike Cikos on the line here for Jim Ricchiuti. Wanted to follow up on the new products that you guys currently have out there. Have you seen any change as far as customer behavior or their purchasing decisions now that you guys have launched these newer products?
Ronen Samuel: So in general, as I mentioned before, we see great success with the new product we manage to penetrate totally new type of customers that we couldn't penetrate before. We are penetrating the mainstream screen printers, really big accounts. We are penetrating sports, the sports industry, athleisure industry, penetrating brands. This is a major focus for us. With our current customers we see a mixed direction. So we have customers that really, really happy with they're using Avalanche HD and they continue to acquire additional Avalanche HD. We see customers moving into the Atlas. We see customers adding on top of that, also the Poly Pro. So it's kind of a mix, a mixed bag. But all positive. In the past, you know, there were questions if we see cannibalization of the Atlas on the Avalanche. We actually see a great mix of customers buying both the Avalanche and now they're buying the Atlas. So we don't see really cannibalization in this area.
Michael Cikos: And then there was also a comment earlier on the EMEA region, I guess you guys are currently scaling your go-to-market infrastructure there. Can you further elaborate on what, exactly, you guys are investing in in that region?
Ronen Samuel: Yes. So first of all we brought a new leader, a new President for EMEA joined us about two months back. And he's doing great progress on just building around him a new management team. We investing in the key accounts manager working with big accounts, strategic accounts. We're investing in the after-sales in the service organization, in business development, in teams that focus on the supplies business and the after-sales. And we're investing in personnel within the countries working with our China partners, closely and helping to open doors and close deals with our China partners.
Michael Cikos: All right. That's helpful. And then the last thing, I may have missed it, when you guys were breaking out the revenue contribution by region I think Americas was 57% of revenue. Did you give a year-on-year growth rate for that region?
Guy Avidan: No, we said 57%. You can actually pick up the numbers from the call last year and extract it. We also mention in the script the year-over-year, let me just get it here.
Operator: And our next question comes from Patrick Ho with Stifel.
J. Ho, Stifel: Ronen, maybe first off, given the success you had at ITMA this year, you've talked about in the past that a lot of the new products were being purchased by existing customers transitioning over. Can you give a little bit of color in terms of potential new customers that follow the ITMA event this June?
Ronen Samuel: Yes. So we saw many new customers that bought both the existing product, like the Avalanche HD, but also the Atlas and the Poly Pro. So we see interesting type of customers that we didn't see in the past. One group of customers is from the graphic arts. We see more and more adoption from customers that used to be only the graphic arts and they have web-to-print online or marketplaces that now adopting only going on also for the textile market and adopting our solution. So this is kind of a totally new type of customers that we are acquiring. We see, as I mentioned before, the brands working very, very closely with the brands, adopting it for themselves. Some brands working with their own fulfillers to adopt digital and to adopt out our technology. We are starting to really engage with the biggest screen printers of the world for adoption of our technology both on the Poly and the Atlas. So many, many new customers and yes it's going very fast.
J. Ho, Stifel: Maybe as my follow-up question in terms of some of your other businesses, you talked about improving the services gross margins. Obviously consumables has a very, very good gross margin contributor. Aside from product mix what are some of the other variables, Guy, that maybe you can continue to improve gross margins, especially as you look at 2020?
Guy Avidan: In terms of short-term, we went there before we launched the Atlas and the Poly Pro and the Presto recently. So we have some significant basis points that we can increase just by reducing cost of goods when these products will be fully ramped up, and that's going to be this year. So mix is number one, but number two is improving cost of goods sold which is just, you know, short-term economies of scale.
Operator: Our next question comes from Greg Palm with Craig Hallum Capital Group.
Gregory Palm: So looking at results by geography, really strong results in the Americas, Asia-Pac, year-over-year declines in EMEA which presumably is -- was maybe caused by a lack of system deployment in that region from your major customer. Is that a fair assumption, and do you by chance have a maybe an apples-to-apples comparison excluding the impact of that large major customer?
Ronen Samuel: No, so it's actually, we have a great result in EMEA as well. The decline that you see is due to one big deal that happened last Q2 from our largest account which is a one-time event that happened last year. And we didn't see such a magnitude deal this quarter from this account in EMEA.
Gregory Palm: Okay.
Guy Avidan: So we actually mentioned it, if you take out the business with this specific customer in Europe, take it out in Q2 2018 and take it out also in Q2 2019, then you'll see increase of 19.1% year-over-year and that's actually reflect the real increase in business in EMEA.
Gregory Palm: A lot of companies are talking about sort of the macro slowdown over in that region or at least specifically in Europe. Are you seeing any macro softness yourself, or not?
Ronen Samuel: Actually, we are coming out of ITMA with a very strong pipeline for EMEA so we feel very confident for at least for the next quarter, the next two quarters the performance will be very, very strong in EMEA as well.
Gregory Palm: And then Guy, you made some comments surrounding tariffs earlier on the call and I'm curious if you have any tangible examples of maybe customers accelerating the strategy to reshore here or just kind of curious if you're seeing any positive impact yet or not.
Guy Avidan: We're talking with some of the let's say third party manufacturers for large brands. And they have, let's say, manufacturers in China as well as the other low-cost countries. And they're totally going to shift to other local countries as well as bring back home. That's what we hear.
Gregory Palm: And do you think that's the result of the recent announcement for the new set that goes into effect September 1, or was that conversations you were having previous to those, to that new announcement?
Guy Avidan: That's very, very fresh. I think that's actually driven by the last announcement that will actually start September 1. So that's a new thing. The new tariff actually touch directly apparel, so it's very relevant to our business.
Operator: [Operator Instructions]. We'll take our next question from Brian Drab with William Blair.
Brian Drab: Hi sorry, I'm just going to ask on gross margin again. When you say higher than 50%, can I just ask, are you contemplating that for third quarter and for fourth quarter? In both quarters you'd have gross margin above 50?
Ronen Samuel: Yes.
Brian Drab: Okay. And then -- and I guess typical seasonality should be expected with mix meaning more consumables usage in the fourth quarter? So maybe a fourth quarter, a little bit higher gross margin than third quarter?
Ronen Samuel: Yes, you're right. Normally we expect some seasonality this year. More ink in the fourth quarter. And as a result, even higher gross margin.
Brian Drab: Okay. And then can you talk a little bit more about the Presto and you know, how you expect that to impact the second half of the year? Is that more a 2020 ramp in demand for that product?
Ronen Samuel: Yes, so the Presto was, I would say, the biggest surprise during ITMA. We came with this new product, we had high expectation, but the feedback we got from customers that saw it for the first time and those that saw it for the second time after unveiling of the products in some of the [indiscernible] events was actually amazing. People that came to ITMA went around, looked at the competitors' solution and was extremely impressed by the quality of our pigment inks, by the durability of the pigment inks that we have, by the hand feel, by the productivity. And we got quite large number of orders during the show. Our pipeline is very, very strong moving forward. So we are very encouraged. We actually accelerating our investment in this area, in the go-to-market both on the pre-sales and the post-sales. And we believe that it will be material contribution moving forward for a business already in H2 and definitely in 2020.
Brian Drab: So Ronen, last question for me, but do you -- so do you feel now with the Presto that you have a product that can compete directly with players like MS and REGGIANI, Durst, whereas in the past you weren't really able to compete head-to-head with those products?
Ronen Samuel: So the feedback that we were getting today from our customer is definitely yes. In our own segments, in our own volume, we see mainstream manufacturers that order this machine already. So we see different type of customers ordering it. We were targeting a lot of the home decor and we got many orders from the fashion industry, due to the hand feel. We are coming with additional solution around the systems that will make the image even softer compared to what we presented at ITMA. So we are very encouraged that this will be a big success for Kornit.
Operator: It appears there are no further questions in the phone queue at this time. Mr. Samuel, I'd like to turn the conference back to you for any additional or closing remarks.
Ronen Samuel: Okay. Thank you very much to everyone. I would like to thank again all our employees for their dedication and for sharing the common goals with us. Our customers for the continued support and of course, our investors for the trust that you have in Kornit and the trust in us to be able to deliver on our important objectives. So thanks a lot, looking forward to meet all of you soon. Good evening, everyone.
Operator: And this will conclude today's conference call. Thank you so much for your participation. You may now disconnect.